Operator: Good day, and welcome to the Rémy Cointreau '22/'23 H1 Results Conference Call. Please note this call is being recorded. [Operator Instructions] I will now hand over to Marie-Amelie De Leusse, Chairman.
Marie-Amelie De Leusse: Good morning, everyone, and thank you for being with us Rémy Cointreau's H1 results. I'm glad to be present for my first publication. I'm here with Eric Vallat, CEO; and Luca Marotta, CFO. H1 has been a half year packed with initiatives in terms of marketing, business operations and sustainability. For the past 2 years, the group has started a deep transformation and this semester is no exception. We continue to make some solid progress. We are proud of what was achieved by the teams across the globe. So first, let me start by thanking all of them for their commitment, agility, creativity and achievements in the context, which remains volatile. It has been another strong semester, and we reached new records on all metrics. With a strong double-digit sales growth in all regions, the group generated plus 21.1% of organic sales growth and benefited from the well-balanced contribution of volume and price mix. This leads to a remarkable level of COP growth, and more importantly, to an outstanding level of EPS with plus 64.7% of reported growth at EUR 4.40. It has been multiplied by 2 compared to pre-COVID level. We are clearly on track, and I will let Eric take you through the H1 business review. Eric, the floor is yours.
Éric Vallat: Thank you, Marie-Amelie. And good morning, everyone. Thank you for joining us today. I'm happy to take the mic now to share with you our solid progress on our strategic journey and our overall results. And obviously, Luca will then go further into detail as usual. Before to start, I would like to take 1 minute to congratulate also our team as we have just been ranked as the most responsible French food and beverage company according to a study published by the magazine Le Point, the #1 news magazine in France. And you see also on the picture on the slide, the picture of the first zero carbon emission bar that we opened in China just this month. So a lot of initiatives, and we are very happy and proud of them. Of course, this recognition somehow rewards all the work accomplished by our teams on a daily basis. This is also the result of the transmission of a wonderful heritage obviously, that dates back to 300 years ago. I am now on Slide 6. As you've seen from the press release this morning, our '22/'23 H1 results were excellent on all metrics. Back in October, you saw our sales numbers. We talked about a 21% organic growth driven by all regions and on top of high comps. This represents plus 55% of growth versus H1 '19/'20. In terms of profitability, the current operating profit stood at EUR 319 million, up 27% on an organic basis, representing almost 37% of margin. which means 1.7 points versus last year and 7.7% versus 3 years ago. This performance has been driven by a strong gross margin improvement to a record level of almost 72% despite the current inflationary context and a good control of our overhead costs as well while investing in key strategic areas. The EPS, as Marie-Amelie said, came at EUR 4.40 so more than twice what we recorded in H1 '19/'20. These results comfort us in our ambition as explained on Slide 7. As you may recall, this ambition is to become the world leader in exceptional spirits, targeting the highest prices tier of every category and of every category we are in, and displaying the best value per case in the industry. This will come with great products, desirable brands and aligned customer experience. I am not going to elaborate here as I did it many times already. At least, you can see that we are consistent over time. The product is the rational I am prepared to pay a premium as I am buying a product of great quality. The brand is the emotional, which unlocks pricing power. I buy this brand because I am aligned with its values. The experience has become a must-have on top of these 2. And it is the challenge in an industry which is not retail-driven. Believe me, should we build this trailogy -- trilogy, I'm sorry, I'm not sure how you should put it in English successfully, and we are on our way we will meet the 2030 targets, which are listed on the slide and which I am sure everybody knows by heart now. I am now moving to Slide 8. As you have understood, this ambition and strategy is requiring a transformation of the group, which is well on its way. We now have a portfolio strategy. Each of the 3 groups of brands has been assigned a mission for the group. And each brand has been assigned a specific objective and a specific mission, which corresponds to its level of maturity in the group. This is definitely helping our teams worldwide to manage their priorities. A set of tools are being developed accordingly. This is still work-in-progress, but already proving efficient. Look at the growth witnessed with the global priority brands, which, as you know, are accretive for the group. Beyond the portfolio of brands, we have defined 4 priorities which are transversal in the group. They will contribute to the good execution of the strategy. I will give a short update by priority in the coming slides. Lastly, to achieve such we have been working on our organization, our processes and on our resources to build the critical capabilities to achieve the vision with a special focus on commercial excellence, retail, e-commerce and CRM, of course, and data management. After 3 years, I must admit that this transformation will never be over in such a faster-moving world. But at least, we have made it a top priority soon 3 years ago, and we are making good progress. We are in a much better place today than we were 3 years ago. Now let's go back to our strategic priorities on Slide 9. Priority 1, increase the value per case. As you know, the value part is and will be a key driver in the coming years. In H1 '22/'23, we recorded another strong price/mix effect of plus 11.4 points on sales. And we gained 1.5 point gross margin, mostly driven by the Cognac division. This is, of course, the result of price increases but also of the continued work made around our intermediate range in Cognac, namely CLUB and 1738 products. Taking a step back, this category grew its share by 8 points globally versus H1 '19/'20, a great achievement. And it has been done through the investment made behind these very accretive and strategic brands and through the improvement of our gross to net management. Let us now switch to priority #2, on Slide 10, enhanced portfolio management. As mentioned earlier, we have assigned clear roles to each brand, and we have split them into 3 groups with a clear set of priorities for each. The objective here is to maximize our gross margin at group level. I picked up 2 examples, which I believe are relevant for H1 '22/'23 and which illustrate this portfolio strategy. One global priority brand Cointreau and one regional brand, St-Rémy they are in very different situations. Cointreau has one of the most impressive gross margin within our portfolio. So the target number 1 is obviously to grow Cointreau. While St-Rémy is in a turnaround mode and needs to improve its gross margin before we support it with additional investments, which does not prevent it from growing of course. Cointreau recorded another impressive semester with a plus 25% organic growth, driven by all its strategic markets, thanks to consistent investment behind cocktails since 2017. Meanwhile, St-Rémy has materially improved its gross margin, thanks to the successful launch of St-Rémy Signature, a very high-end variance, displaying the best profitability within the range. A variant, which cherry on the cake has allowed the brand to improve its presence and endorsement in mixology bars as well as to recruit new clients. I am now moving to the next priority, the third one on Slide 11, implement a centric -- a client-centric model. What makes our group unique? Our history and our long-term stance on the business, of course. Our relationship to terrior matters, like Bruichladdich has been saying for a while now, we believe that terroir matters that raw materials have an impact on the organoleptic quality of our products. But above all, we are unique because we have LOUIS XIII. With such a jewel in our hands, we are pushing the boundaries of direct-to-client activities in our industry. This is why we are opening LOUIS XIII stores. This is why we are opening mono-brand e-boutiques. This is why we have designed a tailor-made loyalty program for our clients. This is why we are reengineering wholesale in China, eliminating layers, focusing on the right partners and accounts with a real partnership, allowing for better access to the end client. This is a radical move in the industry, a first-mover approach. For our organization in China. We even go as far as taking our inspiration from high-end watches business. Of course, implementing a client-centric model has different meanings according to the brands. But with LOUIS XIII, we go further, and we learn for other brands LOUIS XIII is, in fact, a great source of inspiration for all our brands. It is pioneering the D2C in the industry. And finally, our fourth priority on Slide 12, achieve a responsible growth around 3 pillars, preserving our terroir, acting for our people and committing through time. Today have chosen to illustrate with 3 initiatives on our third pillar time and the reduction of our CO2 footprint. As part of Rémy Cointreau commitment to sustainable practices, by reducing the amount of single-use glass bottles. The group has just launched 3 pilots to explore 3 different formats of circularity. First in Barbados, with a local returnable bottle project. The principle is simple, empty bottles are collected and brought back to the Mount Gay plant, where they are washed and refilled with rum before being resold. We estimate this bottle circularity process could generate a CO2 reduction of 60% per bottle on a volume that is material as the turnover we do in the Barbados is quite high. Second, in the U.K., a partnership with Ecospirits for Cointreau and Mount Gay. The 2 brands will test the first closed loop service in the U.K. The partnership will see co-branded circular hardware used in several venues across the on-trade, including bars, restaurants and hotels. And finally, in France, LOUIS XIII have just revealed INFINITY, a new refill proposition LOUIS XIII THE INFINITY WHEEL offers the possibility of refiling its decanter an unlimited number of times. The ceremony is personalized and the life of the decanter is extended to infinity. The decanter is examined, carefully cleaned and digitally listed before starting. Each refilled bottle is embellished with a specially engraved medal, which is attached to the bottle before being given to its owner. This new service is available in France at the Cognac boutique, and we already had 1 client day before yesterday and will be rolled out in China and in the U.K. in 2023 in our boutiques.  [indiscernible] this refill experience is, in fact, equally qualitative if you compare it to the regular experience you have with LOUIS XIII. So we have made it a special happening. Let me now take you through a quick business review before giving the mic to Luca. And the Slide 14 (sic) [ Slide 13 ] gives you and gives me, sorry, the opportunity to remind you of our H1 sales numbers by division. I will be quick as they were already detailed by Luca back in October. But as you know, Cognac, which represented 73% of our sales, grew 22% organically versus last year. Liqueurs & Spirits, which contributed to 25% of our sales recorded almost 21% growth versus last year. And lastly, our partner brands, which, as you know, are not strategic and account for 2% of the group sales were down 13%. On Slide 15 (sic) [ Slide 14 ] now, just a word on the regions. The slide shows that total growth is well balanced across regions, by the way. Americas generating a strong growth of 21% on top of a particularly high base of comps last year. APAC posted a similar growth of almost 22%, showing a strong acceleration in Q2 during [ MAF ]. And finally, EMEA benefited from a solid summer season boosted by tourism and the reopening of on-trade. And as a result, EMEA grew 19.9% organically. Let's now focus on the Cognac division profitability who's great key figures are summarized on Slide 16 (sic) [ Slide 15 ]. Current operating profit grew more than 35% on an organic basis. So it's been multiplied by 2 versus 3 years ago. Representing an increase of the margin of 6.5 points to 47%. This is a new record. This breaks down into an organic increase of 4.4 points and a positive currency effect of 2.1 points. The organic improvement reflects a strong gross margin improvement of 2.8 points resulting from a strong contribution of the price/mix and particularly the price component. In Cognac, the main COGS is the liquid itself, which has been about several years ago, making the inflation impact much more limited than another liquids. Consequently, price increases largely compensated the inflation effects on logistics, glass and other dry goods. These gross margin gains have been reinvested in our brands in A&P, but less than expected because as you know, China is alongside the U.S., a key market and considering the sanitary restrictions in H1, we have decided to postpone some of our projects in China to the second semester, and hopefully, we will be able to make it. Consequently, A&P ratio was down 1.3 points. Finally, the strong operational leverage of the division also contributed to this meaningful improvement. Other OpEx ratio being down 0.4 points. Let's now have a look at the Liqueurs & Spirits profitability division, whose key figures are encapsulated on Slide 17 (sic) [ Slide 16 ]. Current operating profit decreased by 27.5% on an organic basis. However, they are -- it is up 33.6% versus 3 years ago. Representing a margin of almost 15%, down 8.2% versus last year. This performance reflects a decline of 9.2 points in organic terms alongside a favorable currency effect of 1 point. This decline in margin reflected as expected, as anticipated in our plan, a steep rise in marketing and communication spend aimed at preparing for future growth. And as you have seen, sales are now growing faster indeed. Should we keep the sales growth pace, we will benefit from a meaningful operational leverage in the second half of the 10-year plan as said many times. The gross margin was impacted by rising production costs that were partially offset by higher sales prices. At the same time, the group maintained a strict control of its structural costs so that the ratio was down 0.8 points. Let me now give the mic to Luca, and I will come back in the end. Thank you.
Luca Marotta: Thank you, Eric. Now let's move on the detailed analysis of the financial statement. And let's begin with H1 income statement as usual. So as already mentioned, Organic sales were up plus 21.1%, i.e., up 54.6% compared to H1 '19/'20. On that basis, gross profits increased by 24.2% in organic terms, implying a 180 bps basis point organic improvement in gross margin, i.e., 330 bps increase on a 3-year basis reaching a whole time high. This excellent performance compared to last year was mainly driven by huge price/mix effect of EUR 18.5 million. This includes a pure price effect of 64.2% following price increases in all regions last April as well as a pure mix effect, EUR 25.3 million, resulting from our value strategy. At the same time, volumes contribution stood at EUR 18.4 million on top of its strong contribution over the past 2 years. Sales and marketing expenses were up plus 22.1% in organic terms, reflecting our decision to reinforce our investment behind our brands. Within this total, A&P on one side, expenses grew plus 27.4% organically, i.e., meaning an organic increase of 64.9% on a 3-year basis, so above our organic sales growth. As we were and we are ahead of our 10 years plan, this continued ramp-up reflects our decision to reinvest most of our margin gains in advertising and promotion to continue to build to desirable and aspirational brands while increasing their [indiscernible]. Most of the spending comes from the above the line part. What is above the line? I said many times, classic media, digital, NPR for around 60%, of which 60% of the above-the-line part are digital. So consequently, around 40% of our total A&P spend is today digital. In parallel, distribution costs increased by 14.9% organically, meaning an organic increase of only plus 5.9% on a 3-year basis. Reflecting an increase in terms of key headcounts in our international subsidiary as well as some strategic OpEx to accelerate on retail and direct-to-client priorities on commercial revenue management and this kind of strategic activities. Finally, administrative expenses increased by 19.9% on an organic basis meaning an organic increase of 47.9% on a 3-year basis, slightly less than our sales growth. This evolution reflects an increase of our brand OpEx related to some additional headcount and key investments in global worldwide e-commerce, CRM transformation programs and brand development and protection activities. At the end, all in all, the current operating profit this semester reached a whole time high of EUR 319.3 million. What does it mean? The group achieved in 6 months, the equivalent of 12 months of current operating income, which would represent its second best year ever. On an organic basis, operating profit was up plus 27.2% and up plus 50% on a reported basis after taking into account a positive favorable currency impact of EUR 46.8 million on the bottom line. On a 3-year basis, operating profit in absolute value of the group of the company has doubled versus H1 '19/'20, has doubled. Operating margin stood at 36.8%, up plus 170 bps on an organic basis compared to last year and up plus 770, so almost 800 bps compared to 3 years ago. So now let's move to the analysis of the group's current operating margin, Slide #20 (sic) [ Slide #19 ]. It was up 380 bps as reported, reaching 36.8% over the semester. Again, this is an all-time high. These breakdowns into an organic increase of 170 bps and a strong positive currency effect of 220 bps. The organic improvement of the current operating margin basically reflects a strong increase of the gross margin, first levered tools of our strategic journey. Reinvested, as always said in the last 3 years in A&P, and an excellent control of our distribution and structural cost ratio. In more analytical details. Gross margin was up 180 bps as a result of a very strong price/mix effect, A&P ratio increased by 80 bps and de-acceleration in A&P was particularly focused originally speaking, in the U.S. in large Europe region and travel retail to support its past recovery. In China, it was present, was there, but we decided to postpone some marketing projects due to the sanitary context. In terms of divisional priorities, Liqueurs & Spirits and more particularly, our global brands priority has been a key focus for this first 6 months of the year. Third point, the ratio of our distribution and structure costs decreased by 70 bps, reflecting an excellent control of our costs despite the very strong sales growth in size. Now Slide #21 (sic) [ Slide #20 ]. Let's take a look at the remaining part of the income statement. Other non-recurring operating expenses stood at minus EUR 4 million. This was mainly due to the early unwinding of ruble hedge linked to the current geopolitical situation. The reported tax rate decreased at the same time from 30.3% last year to 28%, benefiting from the drop in tax rates in France. Excluding however, non-recurring items, the executive tax rate was also 28% in H1 '22/'23 compared to already 28% in H1 of '21/'22. At this stage, we expect tax rate to be around 29% to 30% at the end of this fiscal year, alongside the decrease of the tax rate in France. As a result, net profit group share came in at EUR 223.8 million, up plus 67% on a reported basis, i.e., a net margin of 25.8%. On top, excluding non-recurring items, net profit came in at EUR 226.8 million up plus 53% on a reported basis. The net margin, excluding non-recurring items, stood at 26.2%, up 320 bps on a reported basis. Earnings per share came out at EUR 4.4, up plus 64.7% on a reported basis, i.e., multiplied by 2 compared to H1 '19/'20. Now let's move to Slide #22 (sic) [ Slide #21 ], moving to the analysis of the non-recurring items, even if they are limited in this 6 months, i.e., the reconciliation table between net profit and net profit excluding non-recurring items. Non-recurring items mainly integrated this time 2 components. The EUR 4 million of net charges, which reflect, as I said, the early unwinding of ruble hedge linked to the current geopolitical and extraordinary situation and EUR 1 million of positive non-recurring tax items linked to this chart. We can move to a very important slide, Slide #23 (sic) [ Slide #22 ], in which we will analyze together the cash flow generation and net debt. Free cash flow generation stood at EUR 16.6 million in H1 '22/'23 compared to EUR 29.5 million last year. This evolution, a slight decrease in absolute value reflects many things. First, a very strong increase of the EBITDA, plus EUR 108.5 million which is partially offset by an increase of the total working capital requirement for EUR 82.4 million, which need to be analyzed further, splits between a decrease of the working cap inflow related to eaux-de-vie and spirits in ageing process, minus EUR 21.8 million and an increase of the other working capital items outflows for EUR 60.6 million. There are clearly some phasing effects. On inventories, we increased our level of eaux-de-vie and bulk purchases compared to H1 '21/'22. And this is capital. This is very important because it's totally aligned with our strategic capital allocation policies, I said many times. And the second point, on payables, their level reached a peak at the end of last year due to the anticipation of purchases in a context of logistic tension the corresponding payments and cash out were made in H1 of this year in '22. The second element to explain the free cash flow generation is the increase of around EUR 30 million, EUR 29.9 million of the tax outflow, reflecting clearly the higher level of profit. In the same time, CapEx investment outflow were up compared to the previous year for EUR 8.1 million, mostly related to ageing infrastructure, manufacturing, hospitality, IT and e-commerce investment. In parallel, other cash flow outflow slightly decreased from EUR 14.8 million last year to EUR 11.5 million this year. This was largely driven by a lower cash out related to the share buyback compared to last year at the end of September and September this year, was a cash out for the share buyback of EUR 61.7 million to be compared to EUR 154.5 million last year, the same period, offset by a lower level of the early redemption of the OCEANE. EUR 42.3 million in H1 of this year to be compared with a conversion of EUR 149.1 million in H1 '21/'22. On that point, as of September -- end of September 2022, 73.7%, almost 3/4 of the OCEANE bonds in circulation has been the subject of a request for conversion into Rémy Cointreau shares. Over the specific period, in particular in the last 6 months, almost 400,000 shares, 397,993 shares precisely were issued. As a result of all that, end of September 2022, our net financial debt stood EUR 348.3 million, so up from almost EUR 300 million, EUR 299.6 million net debt in September 2021. A ratio is down from 0.77 in H1, [ '21/'22 ] to 0.65 in this year. Now let's move to the Slide 24 (sic) [ Slide 23 ] and a few comments on the net financial expenses charges, which were a charge of EUR 5.1 million in H1 '22/'23, down from the minus EUR 7.4 million last year. Let's start with the net debt servicing costs that were slightly down in absolute value, reflecting a decrease of the monthly average debt. However, our cost of debt was slightly up compared to the previous year in percentage from 1.07% to 1.25%, reflecting a lower use of draw lines, of which part of them have non-usage fees. Net currency increased from a loss from EUR 0.4 million last year to a gain of EUR 1.4 million this year linked to the revaluation of bank accounts that we have in international subsidiaries and foreign currencies. Finally, other financial various expenses stood at EUR 2 million at the end of H1 '22/'23. Now let's move to a technical slide that you like very much, and I like very much as well. So the impact of the currency hedge. The group reported a positive translation and transaction impacts of respectively EUR 85.8 million on sales and EUR 48.6 million on operating profit in H1 '22/'23, better than our expectation. This mainly reflects the strength of the U.S. dollar and the Chinese Renminbi. In addition, we enjoyed a strong improvement of the average euro-dollar translation rate over the period which came out at USD 1.04 per euro in H1 compared to [ USD 1.19 ]. This was translation. At the same time, our policy and our average hedge rate was down at around USD 1.08 per euro in H1 this year versus USD 1.18. So [ USD 0.10 ] of difference. But we can say this is good result, very good result, better than expected, but it's the past. So now looking at our forecast for the global year '22, '23, it's very important. Assuming an average euro-U.S. dollar conversion rate of 1.02 all around the year and euro U.S. dollar hedge rate for all year at 1.09. We anticipate an impact as already highlighted one month ago, between plus EUR 110 million, EUR 120 million on sales, with most of the effect recorded already in H1, about 2/3 and between EUR 55 million and EUR 60 million operating profit with also most of the positive factor recorded in H1, a bit more, not 2/3, but 3/4, 75%. As the evolution of the euro-U.S. dollar exchange rate remains and you see that every day, very volatile up, down, slightly down compared to one month ago. We will continue to share with you our personal update and estimation every quarter. As a reminder, the sensitivity of the group versus our expectation is the following: [ $0.01 ] increase in the U.S. dollar versus the euro, including additional impact of the other currencies pegged to U.S. dollar is around EUR 10 million to EUR 11 million gain on sales and between 6% and 7% gain on operating profit, all things alike. Bearing in mind that the hedging in advance our very cautious policy, but sure, cautious, but sure implies cost of $0.04 to $0.05 on the hedge rate compared to other companies that prefer to be more speculative. At this stage, for the global year to '22/'23, we already covered 90%, 9-0, of our global net U.S. dollar exposure, of which around only 6% of option remaining because they will be -- they were converted. So now let's move to the last slide before giving the mic back to Eric. And this is the overview of the balance sheet with a total asset liabilities of EUR 3.15 billion, slightly up compared to last year. On the asset side, global inventory increased by EUR 135 million to reach EUR 1.65 billion due to the purchases of young eaux-de-vie. Inventories account for 52% of total assets, down 1 point versus last year. On the liability side, the shareholder equity is up by EUR 155 million mainly driven by the strong progression of the net income, clearly and the early redemption of the OCEANE. This has been partially offset by the share buyback program and dividend payment. Net gearing, the group's net to debt to equity ratio was almost stable over the period from 19% to 20%. So now I give you to back -- back the mic to Eric for the outlook and the final part of our presentation. Thank you.
Éric Vallat: Thank you, Luca. Well, talking about outlook, as I like to say in this very challenging environment, it has become more difficult to predict the next 6 months than the next 10 years. This is why I believe it is relevant to start from where we stand today versus our long-term plan. So where do we stand? We are undoubtedly in a much better position than we were 3 years ago. Our sales grew 55% versus '19/'20, well balanced between Cognacs and Liqueurs & Spirits. Notably thanks to the implementation of our portfolio strategy. And talking about sales, I know you have many questions on the U.S. As Luca said back in October, we are indeed witnessing a normalization of our Cognac sales in the U.S., which will reflect in the coming months sales. It will take a few months before selling aligns with erratic sell-in and sell-outs in the past years, linked to the availability of our products. But we are talking of an alignment, a normalization at a much higher level than 3 years ago. With more support than ever behind our brands on top. It is a fact indeed that this growth has been, of course, driven by value but also by volume in a meaningful way, generating even higher profitability, which we managed to reinvest behind our brands, building their awareness and desirability for a brighter future. Just have a look at our A&P ratio on the slide based on a much higher sales level. As a result, we are on track to deliver our full year guidance on track to deliver our 10-year plan and on track to benefit from favorable long-lasting trends like drinking less but better or the rising cocktail consumption, which is a great opportunity for Cointreau, for instance. This is why, and I am now on Slide 29 (sic) [ Slide 28 ], and I'll be short on this one, but this is why we are confident in our ability to keep delivering strong organic growth in the years to come, while focusing on our cost of goods of course, and overheads to preserve our ability to invest in a very challenging and unpredictable macroeconomic and geopolitical context. And we are investing indeed. We are investing, and this is on Slide 30 (sic) [ Slide 29 ], we are investing to communicate and build desirable and well-known brands. The purpose of this slide is not to present all campaigns that have been launched over the past month. The purpose here is just to highlight the unique opportunity that we have today to fully leverage consumer trends and the stronger means we have to reach a new step in the development of our brands. As mentioned several times, the past 20 years have been dedicated to the development of the exceptional quality of our products. It has always been a focus, and it will always be and outstanding liquid is obviously the starting point of everything. But today, we can count on our substantial financial resources capacity to unleash the potential of our brands beyond our products by developing their awareness and desirability. Rémy Martin, of course, as you can see on the slide, but we also continue to leverage the Margarita with Cointreau. We boost the awareness of Bruichladdich and The Botanist with outdoor campaigns among others. And we launched a new campaign on Metaxa enhancing consumption occasions and leveraging its attractive Greek origin. We are driving the business with a long-term vision. Short term is volatile and unpredictable, but we are strong enough to manage potential headwinds while keeping on building our future. Challenging period should, in fact, also be seen as an opportunity for the healthiest brands in our portfolio to widen the gap and gain market share, all the more so as we keep on investing behind them. Innovation is also key to enhance unique client experiences. I am here on Slide 31 (sic) [ Slide 30 ]. Here are 3 initiatives to illustrate this. LOUIS XIII The Drop is a very disruptive product to recruit new and younger clients, raise awareness, drive desirability and nurture and modernize the brand. While being very LOUIS XIII The Drop is proposing a new Nomad ritual that breaks the traditional codes and that target the younger generation. Enjoy it your own way, make it yours as claimed by the campaign. And discover how rich powerful and complex one centiliter of Cognac LOUIS XIII can be. LOUIS XIII is, in fact, here exploring new territories, showcasing a lifestyle, while being very true to itself. Looking at the press coverage, I believe that it has been well understood that this is much more than just a new product for the brand. And you have on the slide picture of Brent Faiyaz. I'm not sure you all know him, RNB singer, myself, I must say, I didn't know him, but I know Jimmy Fallon, and he was on Jimmy Fallon Show, introducing his new song, and look at how he's wearing our Drop. This shows that we are clearly exploring new territories, enhancing the visibility of the brand. Second visual is LOUIS XIII THE WHEEL, which I already referred to, and which is another example that I have already commented, as I said, and which is about the infinity refilling of LOUIS XIII -- infinite refining of LOUIS XIII. And finally, the NFT activation on 1738 with Usher, which has been a very efficient tool to communicate and generate buzz around the brand. And by the way, the 500 bottles were sold in less than 2 minutes, which took us by surprise, to be honest. You will have noted that we also invest in creating new brands. I am here on Slide 32 (sic) [ Slide 31 ], which gives me the opportunity to say a word about Maison Psyché. The financial impact is very limited at least today, but we are very ambitious. With the launch of Maison Psyché our ambition is to create a new craft in the perfume industry. Our ambition in an industry driven by speed is to enhance the value of time with a very disruptive approach. Baptiste Loiseau our seller master in Cognac and Sophie Labbe principal perfumer at Firmenich, have joined their forces to create 5 perfumes from the most noble materials around the world. And these perfumes have matured in our oak casks and the result is truly amazing. Why does this project make sense for Rémy Cointreau? Well, first, because it proves that we are a different animal. We are not solely wine spirits group. We are also a luxury player. Second, because it enhances one of our specificities, our unique relationship to time, embodied by LOUIS XIII when we speak of Maison Psyché, in fact, we speak of ourselves. Third, because it enriches the way we speak of our products, for the better. While we are very technical, the perfume world is much more poetic. And last but not least, Maison Psyché is a great addition for our LOUIS XIII private clients, which is not competing with [indiscernible] and with our very disruptive hand setting approach, we offer a true money can buy experience to our clients. I was lucky to attend the first sale, our Malaysian clients who were accompanied with one of our LOUIS XIII private client directors. We are so impressed by the perfume and so emotional and they felt so privileged that they bought the whole collection. And the first feedbacks are such that we have almost achieved in 1 month our yearly sales target. So who knows where this is going to take us. Even though, obviously, again, it is not instrumental if you look at the group figures, for sure, not today at least. We should not refrain from investing to seize short-term growth opportunities, of course, and as well. As shown on Slide 33, the sharp recovery of travel retail is one of them. We are up 153% versus last year and expect to be back to pre-COVID level by next year. The rebound is quicker than expected, and we upgraded our forecast for the year. This is a key channel for us to grow the awareness and desirability of our brands. It is also a very accretive channel, visibility is clearly our biggest opportunity. We intend to upgrade it on Cognac and of course, to increase our footprint for non-Cognac brands. We have worked quite intensively over the past month to optimize our product offer, and we are now ready to roll out. The objective is to ensure excitement and engagement in store to welcome back travelers by launching new products, some of them being exclusive but also by activating programs while stepping up our brand presence and execution online, the end game being visibility and more important, devalorization. The slide shows you some of the news on our product range that we were happy to share in Cannes in October during TFWA, where we doubled the surface of our booth. Starting with exclusive products such as Remy Martin Club Exception or the introduction of a new product for The Botanist -- The Botanist Hebridean Strength, whose aim is to address the strong growth of the genes extra premium category and to leverage high ABV gin opportunity. As consumers' interest in cocktails continues to grow with their quest for new flavors, there will be an opportunity for high ABV gins since a higher strength ABV gin allows for the flavors to be carried through stronger and longer for a more prominent drink. We also leverage new launches such as LOUIS XIII The Drop of St-Rémy Signature which really were well appraised. And lastly, we foster limited editions, including Cointreau in [indiscernible] or Metaxa 7 Stars. Moving to the one before last slide, Slide 34 and before concluding a quick word on our cash allocation policy aiming at preparing the future. In 22/23, we will continue to ensure a well-balanced allocation on the back of a solid balance sheet. This will include a greater focus, as Luca said, on strategic working capital, meaning inventories in eaux-de-vie for Cognac and aging liquid for whiskeys. Sourcing is a key priority. We intend to buy more and grasp all the opportunities. Overall, we expect to spend about in EUR 90 million to EUR 100 million of strategic working capital. We also plan, which is good news in a way, it shows that we are on track versus our purchasing plan to achieve our vision. We also plan to spend EUR 70 million to EUR 80 million in CapEx for aging, manufacturing, IT, digital and some other strategic spend behind CRM, for instance. And of course, M&A, as already explained, we are now ready to acquire and integrate an acquisition. But we will remain very selective. As you can see on the slide, we have several criteria, which do matter to us. This means that we will not only go for deals that make perfect sense for us. In parallel, we will only go, sorry -- for deals. And in parallel, we intend to maintain an attractive level of shareholder returns, including dividend and share buyback, like the one that we have launched last September. As a conclusion, and on the back of this strong H1, we are confident that we will continue to outperform the exceptional spirits market in '22, '23, while ensuring a perfect execution of our strategic roadmap. We expect for '22, '23 to continue to gain market share in value and to generate a strong organic sales growth. This performance will be uneven between H1 and H2. Indeed, after 2 years of exceptional growth and considering the return to normal living conditions in most regions, H2 will reflect a normalization of the consumption, but at a level that would remain well above the one that prevailed in '19, '20. In addition, the pace of growth will be tempered by the high base of comps especially in Q3. At the same time, we intend to increase our A&P investments this year, which would be overweighted in H2. We also expect to improve our comp margin organically driven by the resilience of the gross margin, as you have already witnessed with H1 and a continued strict control of our OpEx. Given the expected phasing effects on sales and A&P, the improvement in the comp margin will be mainly driven by H1. Finally, for the full year, we are expecting a positive currency effect. On sales within the range of EUR 110 million to EUR 120 million and on cap within the range of EUR 55 million to EUR 60 million. I would like now to thank you for your attention, and we are obviously happy to take your questions and answer them. So then, the mic is yours now.
Operator: [Operator Instructions] The first question comes from Olivier Nicolai from Goldman Sachs.
Jean-Olivier Nicolai: Eric, Luca and [ Celia ]. Just getting back to the outlook, as [indiscernible] of Thanksgiving day until Christmas, what are the current sellout trends that you're seeing in the U.S.? And do you see the higher cost of living starting to become an issue for the Cognac drinker? Or is it mostly because of the tough comps that we should be worried about H2? And when you talk about normalization in the U.S., should we think about high single-digit growth next year? And the first question is on the U.S. Very quickly on China, with the latest round of lockdown, how do you prepare for Chinese year this year, which is a bit earlier than last year? And lastly, I was looking at your share buyback, considering your very strong balance sheet and current share price, would you consider stepping up the share buyback in H2 or next year?
Éric Vallat: So Luca, we'll let you answer the last question, if fine by you and I'll take the first 2 ones and you can obviously complete. So your first question was about Christmas sell-out trends in the U.S. more particularly and whether we see cost of living impact and whether the sales in Q3 would be mostly linked to the top comps. So yes, it's mostly linked to top comps. I would like to remind everyone that we compare to erratic set in and sell out driven by the availability on and off of the products last year. And you may recall that last year, Q3 was the highest quarter ever. And obviously, we look at managing our stocks, and we don't want to go for promotions. I was in the U.S. last week, I visited probably 20 stores. And I could see that, indeed, a lot of brands are going under promotion, and I was very proud and happy to see ours not being promoted. So clearly, we are managing our stocks. We are managing the level of our pricing, and it's a consistency in -- of trade, obviously which will drive to, as you have understood, the Q3, which might display a mid- to higher single-digit decrease, which is totally planned and the recovery in Q4, by the way, with hopefully a double-digit increase. Do we or see or do we foresee an impact of the cost of living? I would say that we don't see it for a -- for our Cognac and the question was, if you look at our global Cognac range, we see up trading. We see a very strong double-digit growth in the U.S. on LOUIS XIII, on XO, a very good resilience of 1738. And of course, the challenge is more VSOP which is partly linked to the comps of last year again and potentially partly linked to the fact that, indeed, there is some down trading there. But again, this is aligned with the strategy knowing that, as we have always said, our target is to grow the upper range and given the availability of the liquid, it will have to be in the long run at the expense of VSOP. So this is the way we look at it. Again, good resilience, more linked to high comps, up trading overall and very good resilience of the upper grades, no compromise on price and good level of confidence. To conclude, you were asking about the prospects for next year. So we do not disclose precisely the next year, obviously, but what we can tell you is that our long-term -- long-term view on Cognac is a high single-digit growth indeed with 1% to 2% in volume and the rest being mostly driven by value being the mix and pricing as well. Don't forget also that the pricing power on Cognac, which are high-end products is more than on some other products in the range. To conclude in the U.S. we have quarter booming. That was again in the U.S., I said it already, but last week, and I was impressed to see how Cointreau has changed its paradigm. Cointreau is in the front visibility, in the entrance of the stores, of course, it's boosted by Tequila, but Cointreau is clearly the choice for Margarita. And this drives a fantastic presence of the brand, which keeps going very fast, even though comparing to very high levels and impact of Cointreau of our overall profitability is not to be neglected. I think your last question was on CNY. Just a word on China. I think it's important to be on CNY to give you our view on China. So first, it is hard to predict China. It's on and off. The lockdowns are local or multi-local. It's changing every day. Today, we got a lot of news. The fact that now if you go out of China and you come -- you go out of Shanghai, to visit another city in China. And if you come back, you are lock down for 5 days, which is the new news of yesterday, which was confirmed this morning. So it's changing every day. But it's not new for us. We've been living with that for a year now. And the key learning is, in fact, rather than trying to predict and anticipate, let's make sure we are agile and flexible. And we struggled with the May -- in May because Shanghai was fully locked down. One of the reasons why we struggled is because our warehouse was in Shanghai and locked down. So we could not ship the other cities. Now we have 3 warehouses, 1 in Guangzhou, 1 in Beijing. So we have adapted quickly. It happens that those 2 regional warehouses have closed and locked down now, and that is Shanghai, which is open. But at least we have more levers to activate the business. Second is we've managed this very unpredictable environment with, I would say, quite a good success. Middle-term festival, we grew double digit, a strong double digit. We had Double 11, which, as you know, is a very important e-commerce day. We grew also double digit. And by the way, e-commerce is now accounting for 25% of our business, which in the context is helpful, obviously. So I would say I am cautiously optimistic for CNY. I cannot tell you more just one anecdote, which I found very interesting is we had the brand base in Plaza 66, which is the most prestigious mall in Shanghai and probably in China. Friday and Saturday and Sunday last weekend. The mall was packed. We hit a record in sales. We registered 600 new VIP clients, VIPs, meaning clients who can afford with [indiscernible]. This is truly amazing and unexpected. And now Shanghai has locked down. So this goes very fast up and down. If you look beyond CNY, I am very confident. I'm very confident because the appetite for our product is still there. We witness it for every single opportunity and the drop is on top of that, creating a new buzz around Louis XIII. I am confident because, again, the imported spirits account for only 1.5% of the imported spirits. I am confident because middle class is growing, and they are the core target of our core brand, Remy Martin. And I am confident because we see very fast growing appetite for our whiskeys and for whiskeys in general, particularly Single Malt. And they like Peated Whiskeys, which is not bad for [indiscernible]. So we believe we are in a good position to benefit from this whiskey trend, which, by the way, is not at the expense -- happening at the expense of Cognac. Sorry, I was a bit long, but answering to U.S. and China together takes a bit of time, Luca?
Luca Marotta: Yes. On the share buyback side, so the figures that we presented before was in the end of September. So -- now 2 months later, we already bought back a little bit less than 900,000. So we are 88% of the completion rate of the plan that was approved by the Board of Directors in July for EUR 1 million. The cash out so far is EUR 145 million, today as far as I speak. And we average -- so an average cost per share of EUR 164.7. To the second part of your question, clearly, the general -- the CEO of the group, Éric Vallat, got the authorization from the Board of Directors to pursue this plan for EUR 1 million, a maximum deadline one week before the closing in March. So it's something that eventually will be reanalyzed by the Board of Directors. Financially speaking, it is a very important source of giving back value to the shareholders, like a dividend. But as you have seen, we insist a lot also the strategic allocation of our cash. We just increased it not the guidelines in terms of working capital, strategic cash out for the year, EUR 90 million to EUR 100 million. And on top, CapEx are quite important present in the period for EUR 70 million to EUR 80 million. So when all these kind of priorities, I'm sure that Eric, CEO and Board of Directors will decide for the better in the next coming session.
Operator: The next question comes from Laurence Whyatt from Barclays.
Laurence Whyatt: Three for me as well, please. Firstly, on your 10-year targets, of course, this morning, you've hit or exceeded those targets that you, I think Luca mentioned that you're ahead of the 10-year plan. Just wondering if there's any chance that those could be brought forward at all? You've clearly had some beneficial currency moves which clearly helped there. But any thoughts on changing those targets in time soon? And secondly, in terms of advertising, of course, you mentioned that the lockdowns are continuing in China. You're seeing some changes. Could that affect your marketing spend position in the second half of the year? And also across the 2 divisions, are we at a level, certainly in Liqueurs & Spirits division, are we at a level that you'd want to maintain this marketing spend in the future? Or do you think there's a scope for an increased marketing spend? And finally, on price increases, would you anticipate an additional price increase this year given the demand that you're seeing? Or is that all going to be waiting for next year in terms of normal price increase in March?
Éric Vallat: Maybe I'll take the 2 last ones and I'll leave you the first one to balance the answer. Not to have any one speaker.
Luca Marotta: Feel free to complete.
Éric Vallat: Sure. You want to start then? With the 10-year target?
Luca Marotta: Yes. So the 10-year targets, we are in advance after this is the year, 2.5 years so far. But clearly, we have to remind that when we measure that, when we say we are in advance, we recreate the same theoretical environment that we had at the beginning of the plan of the journey, so meaning that we are back to the same scope. So we don't take into account the acquisition of the [ Brillet ] and Telmont or if one day, we have some new acquisition, we're not part of this plan. So we will maybe have another one, but we will create the same environment. We will create the same environment in terms of the ForEx that was [ 114 ]. So your point is that methodologically we are not adjusting the figures with the ForEx. But clearly, maybe in year 4, year 5 after the first part of the year, if the ForEx difference between the real life, let's imagine that the EUR/dollar is EUR 1, it's parity, [ 434 ] becomes the reality. Clearly, in that case, we will adjust and we will rephrase the plan taking into consideration that. So far, ForEx is accretive, that is volatile, geopolitical and macroeconomical tension makes the not evident and not cautious to change the figures, but I can assure you that into methodology, we and I will be particularly very, very attentive to create the same comparable basis [indiscernible]. So once again, same scope of the base of this year and [ 114 ] in term of exchange rate and other currency.
Éric Vallat: Thank you, Luca. And as to your 2 other questions on advertising first. So I cannot answer in one. I think the matter is really to -- to split between China and the U.S., which are, as you can imagine, the 2 big spend for us. So China, we will monitor. There's a risk that we spend less than what we anticipate or than what we would like to spend. We had to cancel this week. A number of events, and this might happen again. It is not new at all. Again, we are monitoring on a day-to-day basis. But yes, there is a risk on the marketing spend. As you can imagine, it is mostly a Cognac A&P much more than Liqueurs & Spirits A&P in China, where Cognac is by far the #1 product we are selling. In the U.S., we are going as was said in the presentation, to spend and to spend more in H2 than in H1. Here, we are pretty comfortable in our ability to spend this money and to spend this wisely because we've been learning in the past 3 years. We have some exciting news. We'll be happy to share in the coming weeks or let's say, beginning next year. But things should happen before year-end, and we believe they would be impactful, particularly on our Cognacs but not solely. So we will keep spending and the ratio will keep being very high, including for Liqueurs & Spirits as anticipated. Then you had a question about next year. The way we look at it is our spend is going to increase in absolute value. But in absolute value, we are so much ahead of our plan that in relative value compared to sales, we do not necessarily anticipate increasing the share of A&P as a share of sales, but in next year, but in absolute value, for sure, the spend will keep on increasing next year. And split between our Cognacs and our Liqueurs & Spirits. We have just launched this week or last, a new campaign on The Botanist, it took us one more year than expected to launch it. But there we are. So we are not going to decelerate for sure while confirming our objective for this year, obviously. And as to price increases, I would like to say again, for me, we take a risk with our brands if price -- pricing is solely dictated by inflation. Pricing is meant to be dictated by pricing power. We've been working on our pricing power for the past 3 years. Pricing power is made of great products, aspirational brands and experience aligned with those 2. We've been investing behind them because we believe they deliver pricing power. This is why we've been increasing our prices for the past 3 years. We did not wait for inflation to increase our pricing. And it is the result of scarcity of Cognac, but also of the heavy investment behind our brand. And you see the gross margin today. We are also ahead of the brands because we managed to increase prices. Are we going to keep on increasing? Yes, because we are going to keep on investing behind our brands. And yes, also, indeed, because we have to manage our COGS, which are increasing. As you understand, the Cognac is more immune to inflation. It is less so the case for the other brands. So yes, we are going to keep on increasing prices. Are we going to do it this year? We just did it in October in a selective way but we just did it. So it's been 6 times in 3 years now. So we will see and monitor according to the COGS. It's things we do not disclose, but we just did it, which is one way of answering your question. And if I -- an additional element on prices. Price increase is also avoid to enter in a promotional battle. In the second semester, third quarter, it is a price increase, what we are doing is a valorization, implicit and explicit that is just happening right now in the U.S., right now in the most fighted states like Illinois and some like that, we are valorizing because we are not entering in a street battle and this is this price increase because volumes are clearly important, but we are not driven by volume in the short term. So it is another way to look at that. So when you go out running, we prefer not to remain in a gym, so you run remain the same place. We go out to running this prices. If we go outside in the country are and we see many different. And this is valorization.
Operator: The next question comes from Edward Mundy from Jefferies.
Edward Mundy: A couple, please. The first is on the U.S., I think you mentioned that it will take a few months for the sell-in a line to sell out given the availability of products. Could you perhaps expand on this? And if demand is weak and expected? Is there a risk of this realignment takes a bit longer from an inventory standpoint? And then on China, I've got 2 questions. first of all, following the stop start recent events, can you talk to the level of inventories in China after Mid-Autumn Festival? And then just more broadly, given that it has been 2 years of stop-start in China, are consumers thinking more at home in China? And does this help to broaden the usage occasions and help to increase household penetration for Cognac medium term?
Éric Vallat: You want to answer the first ones on the stock? So as you wish?
Luca Marotta: The first one?
Éric Vallat: Yes.
Luca Marotta: Yes. So in the U.S., the alignment and the line to the alignment. Mathematically, you have a comp, so not a market issue in our opinion, in our analysis so far that will hit our performance in Q3 and this year and Q1 of next year. So as already said by me, by myself, end of October, so the realignment process between sell in and sell out with different volatile quarters will end -- end of September of 2023. So Q3 will be negative at group level and clearly for the U.S. Q4 will be because it's very, very small, is the half of that in absolute value at group level and also in the scale of the U.S. will be up, will be increasing. Q1, we do not yet, but we have a clear, very high comp to fit with and the stock realignment, even if it's there, may face this kind of huge comps in terms of depletion and sell-in and Q2 a more normalized environment. At the end of the September 2023, we will enter in underlying normalized environment in the U.S. meaning that I said it will be high single digit, but this will not automatically translate in the sell-in Q3 of '22, '24 because when you normalize at that point, you have [indiscernible], the restocking effect. So if these are underlying or unselling could be even higher. Because the normalization, if you mathematically consider that like decrease is not a reversion, as some of you have said, it's not a reversion, normalization. Then we'll come back to the underlying, the element of stock means that the sell-in will increase more than the underlined depletion pattern. So to sensitize that back, the end on the U.S. of the normalization will be end of September 2023, with different performances according to each quarter, Q3 negative Q4 positive. Q1, question mark, but a huge comp in terms of performance this year and Q2 slightly positive.
Éric Vallat: And on China, so our stocks are very healthy. So not much more to say, very healthy. Your question was also about at home consumption. So first, I wish I could have gone to China in the past 3 years have helped me to answer. It's obviously very frustrating, but there's no better way to know about it than just market visiting and spending time with the team. What I can tell you for sure is that we see e-commerce are growing fast. We see the very good resilience of our trade, which shows that gifting is very resilient and that there is a good level of consumption at home. Does it mean that people are celebrating more at home, having more dinners at home, you know the European way, for instance, I am not sure today. It means people are locked down regularly, and they are also consuming at home. We don't see -- I don't see a shift as massive as we've -- as we are witnessing it in the U.S., for instance. But I believe still that it's a long-term trend indeed. And that this is going to happen in the next 5 to 10 years. It's already happening, but I would say at a much smaller scale than in the U.S. today for sure.
Operator: The next question comes from Simon Hales from Citi.
Simon Hales: Just a couple of quick ones from me, please. Maybe sort of going back to your outlook statement. I mean, Eric, I think you highlighted on your final slide again and in the press release that you expect obviously sort of full year comp margin improvement, but for that to have been mostly driven by the step that we've seen in H1. Can I just clarify, does that mean that you still expect to see some step-up in H2 comp margins? And then secondly, going back to the other point you made in one of the questions earlier, Eric, with regard to U.S. trading. You talked about high levels of promotional activity you're seeing on other brands. Were you talking to other brands within Cognac or just more broadly across other spirits categories in recent weeks?
Éric Vallat: You want to take the first one?
Luca Marotta: Yes, I'll take the first one. I will start with the consensus overall the year and then answer to the H2. So well, in the last month, this is much better your consensus because finally, maybe you were listening a bit to me. So the slightly too high in terms of organic sales. But in terms of organic comp growth for the global year, we are totally aligned today. This implies that the second half will have an organic operating profit in absolute value compared to the previous year that will be declining, will be negative, not negative in absolute value, but it was less important than previous year. So the operating margin knowing that we are not thinking at this stage to have a negative performance of top line in the second part of the year, the operating profit for the second half of the year, the group will be declining as a percentage of sale compared to the previous one. Why that? Why? Because top line in terms of absolute value will be clearly less accretive than the first part. Gross margin will be growing compared to the previous year. So even if inflation is there for everybody. We are a different animal, but there's a lot of work. So we will apply ourselves hardly. And at the end, our target for is to improve the gross margin if you compare H2 of this year, our estimation to the previous one. A&P big step-up because as Eric said it, we have to invest even more in the second part of the year compared to the weight of the activities, of the weight of demands that they are waiting for us and also part of the quickness, the speed of the normalization is linked also these kind of activities, and we have a big, big activities estimated to be to happen and also with a lot of value in terms of amount to invest. OpEx will be growing less than the first part of the year, but still growing. So as a result, the absolute operating profit in the second part of the year, without giving you the exact number, but you have it because I said that the overall operating profit for the year and aligned with your consensus will be declining compared to the previous one. Inorganically, on top, you have to consider EUR 55 million to EUR 60 million in ForEx. And don't forget that price earning is declining because we are already at [ 440 ] already in [indiscernible] and the will be far bigger than that. So in terms of investment thesis, some dynamics in a positive way are moving down there.
Éric Vallat: Thank you, Luca. On the promotional side, so I'll be short because -- of course, I don't like a finger pointing. And so I'm not going to go into detail, obviously, just to tell you that clearly, obviously, every year in the U.S. every O&D period, so Christmas and year-end period is generating its lot of promotions because a lot of groups are closing their fiscal because clearly, it's a hot period as well. What I can tell you is it was very happy and proud because I've been for 7 years at the helm of house of Remy Martin. And I recall the continuous fight on pricing, making sure that we don't destroy in 2 months what we took us years to build, making sure that we understand that what [ Matthew ] matters is also value. And I was very positively impressed by how the teams in the U.S. have shifted from a very volume-driven approach to a combined volume and value-driven approach. But I'm sorry, I'm not going to elaborate on competition.
Simon Hales: Understood. Can I just quickly come back just on the comments around the step-up in marketing investment in H2? I mean, Eric, you said and answer one of the earlier questions that clearly you had to cancel some events of late. Is your plan that where you have to cancel events in China because of the ongoing lockdowns that you think you'll be able to sort of spend that -- still spend that money later in the second half as we head into Chinese New Year. So my question is, is your current guidance based on what you see today or still a plan that you can invest all of the money that you thought you might have been able to invest a month ago before you start to see more lockdowns in China?
Éric Vallat: So clearly, we do anticipate to spend the money we have planned to spend. Indeed, there are risks in China. But the experience has proven in the past year that these risks are very localized. They don't last long. So in the end, we always managed to spend throughout the year, even though not necessarily exactly when we had planned. Plus again, there will be also a big acceleration of the spend in the U.S. where we have a very good level of visibility with again some exciting news to share in the coming weeks and months. So we do not expect the spend to be lower than the budgeted on A&P. Again for the better.
Luca Marotta: Also on top, don't forget that travel retail is coming back, still low but is back. So we invest also behind, also the travel experience, making things far differently than before, indeed.
Operator: We will now take the next question from Chris Pitcher from Redburn.
Chris Pitcher: A couple for me. Firstly, on your EUR 90 million to EUR 100 million investment in aging spirits. Is this higher figure? Is that higher volume of purchases? Or are you -- because of the changing in the portfolio? Are you buying more expensive older eaux-de-vie? And should we see, given the strength of your balance sheet and cash flow that this is the sort of the new ongoing level of investment? And then secondly, I was intrigued by your comment, Eric, that you think of yourself more as a luxury goods business and just spirits and wine and that you're looking to do M&A. Should we be surprised to see you do acquisitions within luxury assumes? Or is the focus very much still on building out the spirits [ portfolio ] And you flagged specifically on the tactical side that you'd look for European commercial scale? Is that because you're looking to build out the potential more in Europe to give a bit more balance to the U.S. and China?
Éric Vallat: Thank you for the questions. So on the eaux-de-vie front. So no, we are not -- we haven't shifted the way what we buy. It's not because we are buying older eaux-de-vie, the majority of the eaux-de-vie, we buy are young and are aged in our cellars. And this has always been and will always be the case. Plus inflation on eaux-de-vie is not new. It started in 2017 already when we started feeling tension on the sourcing. So basically, it is not linked to inflation as such, nor to the portfolio of what we buy to put it this way. It is more linked to the fact that competition is very intense, and we are also on our side, we are securing more long-term contracts. We are making our contracts more attractive, which on top of the regular inflation you see every year on the liquid sourcing is generating some increases, which again are lower than our pricing power. So overall, on Cognac, we don't see any [indiscernible] here. But it's more linked to this than to the portfolio of what we buy. This is why selling aged products is so accretive from a gross margin standpoint, in fact, because we buy them the same price, then of course, there is a cost of aging, but compared to the pricing power of these products, it's very beneficial. And just one last thing. Also the fact that we are spending this EUR 90 million to EUR 100 million more is also interesting because it shows that we are attractive in the region when we want to purchase more. We managed to secure the eaux-de-vie. We need for our future. And I think it's also linked to our singularity, which I explained many times. Second topic, M&A. So I'm not the one saying we consider ourselves luxury. I think it started decades ago as well. It started 100 years ago when we focused on [indiscernible], the most prestigious [indiscernible] Champagne. It continued 50 years ago when André Hériard Dubreuil decided to stop VS and to focus on the VSOP and upper grades. So -- Luxury is also true in Cognac itself is a luxury category, and we are a high-end player in the luxury Cognac category. But indeed, this drives a different approach to the business which could open opportunities we never know. For me, the way I look at it is it's not yet an external growth matter when you talk to perfumes, we believe we have a very disruptive approach by applying this know-how of the wine spirits. We believe it's bringing -- creating a new craft in the perfume industry. Should we be successful? It might open doors. But the first challenge for us is to make it successful. And again, by working on this, we are enhancing what the group is about. So #1 target is to make it successful. But if it is successful, then it might open doors. As to Europe, which was your second question on the M&A part, here, it's going to be it's not solely that we are looking at rebalancing the business. Even though, obviously, this would be great as well. Europe is growing fast now, and we believe in our ability to create more. It's also because we want to control more our distribution. And today, we are driven by Cognac. So we have very strong subsidiaries in the U.S. and in China, which is good news. But we could probably have more subsidiaries in Europe and have a better level of control. For this, we need a minimum critical size. And why not acquire, for instance, a brand that will come with its own subsidiaries and structure in Europe, we would gain years. That's basically the idea behind it. Beyond on top, the idea of rebalancing.
Luca Marotta: Chris, additional point on the third question, a good indicator, and I know that you like it for everybody to look at our account and our notes to the consolidated account, which is the off-balance sheet commitment. So you will see that we have it in historical figures more than EUR 650 million -- EUR 660 million end of September, which means that our engagement to commitment and also the solidity of our buying pattern for the future. So coming back to your question, yes, you can modelize EUR 90 million to EUR 100 million as our will then in real life is always complicated because we have competitors that are very tough on buying. The real number as a guidance in terms of strategic allocation for the free cash flow for the next year to come because we are also reassured by this kind of engagement in medium to long term.
Operator: That will conclude today's conference call. Thank you for your participation, ladies and gentlemen. You may now disconnect.